Operator: All participants please standby, your conference is ready to begin. Good morning, ladies and gentlemen, welcome to the Western Forest Products Third Quarter 2019 Results Conference Call. During this conference call, Western's representatives will be making certain statements about potential future developments. These forward-looking statements are intended to provide reasonable guidance to investors but the accuracy of these statements depend on a number of assumptions and are subject to various risks and uncertainties. Actual outcomes will depend on a number of factors that could affect the ability of the company to execute its business plans, including those matters described under risks and uncertainties in the company's annual MD&A, which can be accessed on SEDAR and are supplemented by the company's quarterly MD&A. Accordingly, listeners should exercise caution in relying upon forward-looking statements. I would now like to turn the meeting over to Mr. Don Demens, President and CEO of Western Forest Products. Mr. Demens, please go ahead.
Don Demens: Thank you, Valerie. Good morning, everyone. I'd like to welcome you to Western Forest Products 2019 third quarter conference call. Joining me on the call today is Steve Williams, our Executive Vice President and Chief Financial Officer. We issued our 2019 third quarter results yesterday. I'll provide you with some introductory comments and then ask Steve to take you through a summary of our financial results. I'll then provide an update on the status of the labor disruption, share outlook and provide an update on developments in our industry. We'll then open the call up to your questions. So our third quarter results were impacted by a combination of the ongoing strike action by the USW and weaker product markets. All of our timberlands and most of our BC based manufacturing divisions were unable to operate in the third quarter of 2019 due to the strike. As a result in the quarter, our adjusted EBITDA was a negative $16.6 million. During the quarter we focused on taking steps to mitigate the impact of the strike in our business and customers. We managed the impact of the strike in our balance sheet by selling unencumbered log and lumber inventories and managing expenditures. We attempted to mitigate the impact on our customers by growing our wholesale lumber program and processing unencumbered logs at custom cut facilities. Some highlights in the quarter include the performance of our US-based Colombia Vista division, which continues to perform in line with our expectations and has been a positive addition to our business and product mix. We continue to ramp up production at our Arlington facility, although the facility is currently operating on a reduced basis due to the lack of lumber supply caused by the strike. Despite this, we expect our Arlington operation to assist us in repositioning our product lines, closer to the final customer over the longer term, and by acting as a critical component to our logistics and distribution platform. And finally, despite the strike, we were successful in reducing our debt levels, while at the same time continuing with our balanced approach to capital allocation, returning $10.3 million to shareholders via dividends and share repurchases in the quarter. Since 2018, we've returned approximately $100 million to the shareholders via dividends and share repurchases. So with that, I'll turn it over to Steve to review our key financial results.
Steve Williams: Thanks, Don. My comments will focus primarily on our financial results for the third quarter of 2019 by comparison to the third quarter of last year. As Don mentioned, we delivered third quarter adjusted EBITDA of negative $16.6 million as compared to $32 million in the same period of 2019. As the strike impacted the entire third quarter of 2019. In the quarter, we saw the majority of our unencumbered inventory process certain unencumbered logs at customer cut facilities and grew our wholesale lumber program to service our customers and help mitigate the impact of the strike. Despite product pricing declines across all our segments, our average realized pricing -- lumber pricing increased 8.5% due to an improved specialty product mix and weaker Canadian to U.S. dollars. Specialty lumber represented 64% of third quarter shipments, compared to 50% in the same period last year. In order to support our selected customers during the strike, we redirected available inventory to active divisions and operated on a sub-optimal basis, resulting in higher transport operating costs.  We incurred $19.2 million of expenses arising from curtailed operations and related operating inefficiencies as a result of the strike, including $1.2 million of third quarter benefit costs paid on behalf of the USW for it's striking members. Leading up to the strike, we drew down inventory at USW certified operations to supply our re-manufacturing and custom cut operations. Despite these efforts, certain inventory volumes remain encumbered by the strike and degraded over the third quarter of 2019. As a result, we expensed an additional $1.7 million provision against a restricted inventory. We are monitoring any potential log and lumber degradation as the strike continues. Our remaining lumber inventories represent a weaker mix of products than what was realized in the third quarter of 2019. From a profit and loss perspective, net loss was $18.7 million as compared to net income of $15.1 million in the third quarter of 2018. Looking at our third quarter cash flow and capital management. With the strike impacting the majority of our operations in the third quarter of 2019, our primary focus was on managing our balance sheet, cash flow and working capital. Cash provided by operating activities was $22.3 million as compared to cash provided of $40.1 million in the same period of 2018. We reduced our non-cash working capital by $38.2 million in the quarter to partly offset significantly reduced cash flow from operations resulting from the USW strike. Cash used in investing activities was $1.4 million during the third quarter of 2019 as compared to $19.9 million invested during the same period last year. We reduced our capital spending in order to manage cash flow and incurred only safety, environmental and committed capital expenditures. Despite the challenges faced in the quarter, we returned $10.3 million of capital to shareholders via dividends and share repurchases and we're successful in reducing our net debt by $7 million compared to the end of the second quarter of 2019. Our liquidity at the end of the third quarter of 2019 increased to $141 million and our net debt to capitalization ratio was 17%. We expect sufficient liquidity will be available to meet our ongoing obligations. Don, that concludes my comments.
Don Demens: Great, Steve. Thank you. So first, I'd like to start off by providing an update on the current year labor disruption occurred in our BC operations. On July 1, 2019, the United Steelworkers, the union representing approximately 1,500 of the Company's hourly employees and 1,500 employees working for our Timberland contractors in BC commenced a strike. The strike is ongoing for all our USW certified manufacturing in Timberland's operations. We understand the impact the strike is having in our employees, customers, communities and shareholders. And we remain committed to reaching a reasonable collective agreement to create certainty for our employees while maintaining Western's globally competitive position. To achieve this outcome Western offered to go to binding arbitration with mediator Vince ready to resolve the dispute. USW refused to accept this proposal that would see employees return to work. Earlier this week, we agreed to return to the table with the mediator. However, the union is yet to confirm their attendance. We continue to seek ways to get the USW back to the table. I'd now like to turn to a discussion of our markets. Our long-term view of market fundamentals remains unchanged. In North America, rising lumber consumption will be driven by increased new home construction, a robust repair and renovation sector and growth in the use of mass timber Building Technologies. Growing demand and reduced supply due to North American sawmill curtailments is expected to benefit the industry long-term. At the same time, we expect lumber demand in China to continue to grow. Despite these positive long-term growth drivers, lumber markets remain challenged in 2019 as North American weather events and skilled labor constraints stalled U.S. new home construction and muted growth in repair and renovation spending. We expect the recent commodity lumber market volatility to continue through the rest of 2019. But we are cautiously optimistic heading into 2020 that the combination of improved lumber consumption and reduced supply due to permanent production curtailments will lead to better pricing. Moving on to specific lumber product segments. Recent BC coastal Cedar permanent manufacturing closures should benefit our Western Red Cedar product pricing going forward. In Japan, we expect demand to remain flat for our Douglas fir products. However, increased competition from European engineered wood may pressure pricing. We expect market share erosion and weaker pricing for BC coastal Hemlock lumber in Japan as a result of the ESW strike and increased competition from Japanese government subsidized domestic species. We anticipate demand for appearance niche products to remain muted in China due to the trade friction between the U.S. and China. In contrast, we expect demand in North America to remain steady for timbers and industrial products. Going forward, we'll continue to align our production volumes to match market demand.  So, I'd also like to provide you an update on a couple of developments in the industry. As discussed last quarter, the BC government announced its coastal revitalization plan earlier this year, the plan includes various policy initiatives that will impact the BC forest sector. As part of their revitalization initiative, the BC government announced the creation of fiber recovery zones, which are intended to increase the supply of residual fiber from primary harvesting for secondary users mostly port mills. Western estimates that approximately 70% of our timberland operations will be impacted with the creation of fiber recovery zones. The impacts to our business include the potential for higher costs and lower log harvest volumes. We expect the impacts will start to be realized in late 2019. The BC government has stated they do not want to see unintended consequences from the policy implementation. We continue to collaboratively engage with the BC government and other stakeholders to ensure the desired outcome of the policy avoids these unintended consequences. Overall, we remain committed to working with government to support our industry and creating business hosting conditions and an operating environment that will keep business on the BC coast globally competitive while avoiding policies that add costs or restrict supply to our global lumber customers. Moving onto the softwood lumber dispute. During the quarter we were notified that our Cedar separate like product NAFTA challenge would not be remanded back to the U.S. ITC. The lack of remand effectively ends our ability to challenge the U.S. ITC's finding that Western Red Cedar and Yellow Cedar products are not a distinct product group but rather interchangeable in their use with commodity lumber. We're obviously disappointed with the NAFTA panel decision. Separately as the broader softwood lumber dispute drags on, we're not anticipating resolution in the near term. We'll continue to leverage our flexible operating platform to partially mitigate any challenges that arise from this trade dispute, as well as continue to evaluate opportunities to diversify our business. Looking towards what's next. With the USW strike still ongoing our near term focus remains on reaching a reasonable collective agreement to create certainty for our employees while maintaining Western's globally competitive position. Until a settlement is reached, we will continue to take all necessary steps to protect our balance sheet, manage our cash flow. This will include increasing our marketing efforts with respect to our non-core assets. Our long-term focus remains the same, implementing our strategic initiatives to strengthen our foundation, grow our base and grow our business. We remain committed to a balanced approach to capital allocation, including returning capital to shareholders, while also considering internal and external growth opportunities to the long-term shareholder value. And with that, operator, I can open up the call to questions.
Operator: [Operator Instructions] Our first question is from Hamir Patel with CIBC Capital Markets. Please go ahead.
Hamir Patel: Hi, good morning. Don, just trying to understand the motivations on both sides of the strike here. If you were to give the union everything they wanted what does that represent to annual EBITDA? Because it seems like the strike is tracking at sort of an $80 million a year loss of EBITDA.
Don Demens: Yes, a reasonable question. I can actually identify what the motivation is with the USW? Let them decide that. I think -- all I can say Hamir, is we understand the impact the dispute is having on our employees, our customers, shareholders and the communities. We're committed to reaching a reasonable agreement. We understand the cost implications of the strike and we can compare that to the demands from the union. I think as I said, we're committed to reaching a reasonable settlement and we've demonstrated our commitment by offering to a binding arbitration with the union, which in effect puts people back to work now. We've informed the mediators that we're available to meet on dates that they've suggested over the next week for resumption in bargaining and as of yet USW hasn't agreed to come to the table. I'd say like with over 6,000 USW members, having already reached an agreement, we believe everyone knows where a reasonable settlement zone lies. So to conclude, we recognize the impact the strike is having. In reference to your question, the cost of the strike as well as the demands of the union, we're ready to negotiate or enter binding arbitration that would see people go back to work and see a resumption of the business. So we're waiting for the union to respond to the mediators request to me.
Hamir Patel: Okay, fair enough. Thanks, Don. And if the strike were to persist. Are you thinking about things you can do to help support the contractor base that is going to be kind of critical when things get going again?
Don Demens: Well, I think we're all in this together. Many of the contractors are represented by another bargaining agent there and they should be owed actively bargaining I think. Our business is a challenge, of course, with the strike as there is. We should be all working together. I think we've put a reasonable proposal together that would see people go back to work and have us stay at the table to reach an agreement. I think that's probably the area everybody should focus on.
Hamir Patel: Don, with the reduced Cedar shipments, what's your census to those customers if they switch to composites? Is it just been and inventory work-down in the channel? Any idea how that's played out.
Don Demens: Yes. So I guess there's a couple of points there with Cedar. Certainly, Cedar was not a great -- it was not a great market for Cedar through 2019, mostly because of delays in getting started in consumption through the year driven by weather events throughout the U.S. That said, there has been a couple of positive developments here. We've seen a permanent production closure in their announcements. We've also been on strike and I can tell you the tone -- much more positive tone in Cedar markets over the last month or so as a result of probably both working down inventories as well as the permanent production curtailments announced. We haven't seen a significant improvement in pricing currently because I think it's just that time of year, people are not putting more Cedar into their inventories in the distribution channel, but we've certainly been encouraged by the outreach we've seen from our selected Cedar customers as they've been a lot more anxious to discuss their needs for the spring. So I guess to conclude that, the tone in the market is better. Prices haven't moved yet, but we're expecting a better year next year in Cedar.
Hamir Patel: Great. Thanks, Don. That's all I had, I'll turn it over.
Operator: Thank you. Our next question is from Sean Steuart with TD Securities. Please go ahead.
Sean Steuart: Thanks, good morning guys. A few questions, just housekeeping first, was there any unencumbered inventory left at quarter-end to sell into Q4?
Don Demens: Yes, not as much as there was obviously the start, but we still have a significant volume of logs and a lot less lumber sub 10 million feet of lumber probably over 400,000m of logs. I caution you to extrapolate anything on the log front simply because Western has been really the only company over the last number of years to invest in sawmilling capacity on the Coast, and we're the only one that's really suited to manufacture a significant portion of those logs. So having those turn into cash and deliver products to customers will be a challenge. Having all of them, but certainly some of them. Inventory levels in general, Sean are certainly lower than they were at this time last year. But I think the market is not as active either. So I think we maybe a little more imbalanced overall in inventories if you take encumbered an unencumbered but we'll do everything possible to move our unencumbered inventories over the near term.
Sean Steuart: Got it. And there was mention made of potentially expediting non-core asset sales to I guess shore up the balance sheet through this tough time. Any idea what you're prioritizing there or any context, you can provide on what you're prioritizing and I suppose scale on time frame of what you're thinking on that front?
Steve Williams: Yes, sure. Sean, I mean, I think probably over the last 5 years we've highlighted 3 key areas being our private timberlands, the quarry and other fee simple properties that we have that are non-core. I think as Don mentioned, we've stepped up our marketing efforts. I don't necessarily want to speculate on timing here, but in totality, I think you said those assets are somewhere in the $80-plus-million range.
Sean Steuart: And the idea, Steve, this has been a long time coming and you haven't needed the cash, so I guess there is no urgency to it, but should we be thinking of this process unfolding over the next year, two years, any context, you can give us there?
Steve Williams: Yes, I would just -- I think I would say we're active in marketing. So we can't control the timing but fair to say that we've stepped up our efforts.
Sean Steuart: Okay. And then the last question just in terms of capital allocation. The dividend was sustained. Any context you can provide on what the Board's thinking on the commitment to this level? Presumably, you don't want to cut just related to a labor stoppage, but how is the Board thinking about the dividend in terms of the overall pecking order for capital allocation here?
Steve Williams: Sure. So I mean that's a good point, Sean, we don't -- the Board is going to look at things and adjust our approach to capital allocation based on transient events here but I think we've consistently noted in our public disclosure the directors will and our Board will review the amount of the dividend on a quarterly basis as they take into consideration Company's financial operating performance liquidity and our need -- ongoing needs for capital. So dividends have been a long -- long been part of our balanced approach to capital allocation. So despite the current strike situation, we'd expect that Board to continue to go through that rigorous process we go through each quarter and reviewing our financial performance and ensuring that there is proper coverage for the dividend.
Sean Steuart: Thanks for the detail. I appreciate it guys.
Operator: Thank you. [Operator Instructions] Our next question is from Paul Quinn with RBC Capital Markets. Please go ahead.
Paul Quinn: Yes, thanks very much. Good morning, guys. So obviously a difficult quarter given the strike, you're looking for a reasonable settlement. Is a reasonable settlement to you -- is that the agreement that the BC Interior concluded with or is it something less than that?
Don Demens: So I would say there's been a history over the, I don't know, 40 years of pattern bargaining in British Columbia. And as I noted, and as you're fully aware 6,000 USW members in interior already settled an agreement. Interestingly, you may not be aware that the pulp mill in [indiscernible] Pacific just concluded an 8-year agreement starting with 2% wage increases in the first 2 years. And then an industry pattern after that. So I think there's a lot of precedent out there as to what a reasonable agreement is. I'd refer back to the comments previously, we are mindful of the impact this is having on employees and communities and our customers and of course shareholders. We've been willing to go to the table and talk about things. We've demonstrated that willingness by even putting our hands in a mediator through binding arbitration. And have yet been unable to get the union to come to the table. So to conclude, I think there has been a reasonable -- we kind of know where a reasonable settlement zone lies. There's been lots of precedent agreements and we just like to get it back to the table, get people back to work and start providing products for our customers.
Paul Quinn: Good. I don't know if it's right but in the press, it seems like binding arbitration is rejected by the Union because of bad track record. Do you feel that's fair or do you feel it's -- maybe that's the best way to get a negotiated settlement?
Don Demens: Well, I think what it does is it provides -- it indicates that Western is open to anything so we want to get back to work. If the union is refusing to go back because of poor results in the past, I recall the last time we then went to binding arbitration it was at the request of the Union. So I think everyone has got to kind of get focused on what's important and I think you have to focus on employees here, customers, communities and our shareholders and get back to work. We don't want to lecture anybody but Western has been the only company for the last 25 years that has invested this amount of money in the coast to try to build a business that can generate reasonable returns and support employment. So I think it's time we all get back to the table, got a resolution and moved on.
Paul Quinn: And just lastly on labor. I have been constantly surprised at how long this has lasted. Is there anything specific in what you're asking for and I would say something coming from the union side that would say that you're looking at cancels seniority rates. Is there something specific that they obviously don't want to agree to? Is there something from the BC interior that's the concluded agreement that would be different from what you're proposing on the coast?
Don Demens: Yes. So I'm not familiar with any seniority rates we're canceling. We've been pretty transparent about what we've offered. We sent letters directly to our employees to explain our bargaining position. There was an issue around pension, I believe. Paul, where we had offered -- suggested it was time from a retention and recruitment perspective to offer choice in pensions. I think the younger workers who were trying to attract at the industry are looking to have a more portable pension option. That is what we heard from the people. We put that forward that was soundly rejected from the union. They don't want to change the pension. And we've taken that off the table. So, I don't -- I'm not sure about what seniority rates we're trying to cancel if that's rhetoric. Then I think we've been public in what we have offered and again I think the focus should be on getting back to the table, getting people back to work.
Paul Quinn: Okay. And then, just I guess moving off that and say we -- you guys collectively solved this labor issue and get back to work. It sounds like with the BC coastal revitalization plan you're getting back to a situation that is not as favorable. How material is that -- the fiber recovery zones to you and what's your confidence that BC government actually will mitigate any kind of deleterious effects on it?
Don Demens: Sure. So, as we noted, 70% of our harvesting tenures are in the fiber recovery zones. The fiber recovery zones require us to pull out more fiber. Waste is measured on a challenging set of criteria, and there is punitive penalties if there is excess waste in the blocks. That gives you a perspective of what we're facing with. We've been engaged with the government, identifying some of the issues, some of which include safety concerns we have and the way waste is measured. I think it's important to note that we'll see over the next period of time where they go with this. I don't think anyone expects or wanted to see a new policy come in that actually reduced supply to pulp mills but that's what's at risk here and we're hopeful that the government will review the proposals we've sent fourth and adjust the policy where they need to.
Paul Quinn: All right, that's all I had. Good luck at the negotiating table.
Don Demens: Great, thanks, Bob.
Operator: Thank you. There are no further questions registered at this time. I would like to turn the meeting back over to you Mr. Demens.
Don Demens: Great. Thanks, Valerie and thanks to everyone for their attention today and support of Western, and we look forward to better news at our next quarterly call. Thank you. Have a great day.
Operator: Thank you, everyone. The conference has now ended. Please disconnect your lines at this time and we thank you for your participation.